Operator: Welcome to Wintrust Financial Corporation 2016 Third Quarter and Year-to-date Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] Following a review of the results by Edward Wehmer, Chief Executive Officer and President; and David Dykstra, Senior Executive Vice President and Chief Operating Officer, there will be a formal question-and-answer session. During the course of today's call, Wintrust’s management may make statements that constitute projections, expectations, beliefs or similar forward-looking statements. Actual results could differ materially from the results anticipated or projected in any such forward-looking statements. The company's forward-looking assumptions that could cause the actual results to differ materially from the information discussed during this call are detailed in the third quarter and year-to-date earnings press release and in the company's most recent Form 10-K and any subsequent filings on the file with the SEC. As a reminder, this conference call is being recorded. I will now turn the conference call over to Mr. Edward Wehmer.
Edward Wehmer: Good afternoon everybody and thanks for joining us for our third quarter earnings call. I am here with Dave Dykstra, our Chief Operating Officer; Dave Stoehr, our Chief Financial Officer; and Kate Boege, our General Counsel. Our call will as usual take the normal format, I will discuss some general comments about the quarter, Dave Dykstra will go into detail on other income and other expense categories, he will turn it back to me and we can summarize the quarter and talks about the future and then we will take some questions. In general we are very pleased with the results this quarter. We showed good progress on all fronts and we continue to grow profitably and profitably into our overhead base, and prospects for continued growth remain very positive. Highlights for the quarter, record earnings to 53.1 million or $0.92 a share, up from the second quarter and up from previous year by about 38%. Year-to-date earnings of $152.3 million or $2.72 per share were up 26%. If you look at the quarter, odd-ball items actually in our opinion went against us just based on the way we look at it. We had a $3.3 million gain on securities offset by $2.5 million mortgage servicing rights evaluation adjustment and $1.8 million in legal dispute accruals, if you add those up its 1 million negative in pre-tax. So that’s kind of the way we look at it. Evaluation charge was obviously a factor of market rates and prepayment speed and should and could turn around if rates ever go up. The $1.5 million legal arbitration award, now typically we do not comment on litigation related matters, however in this case we would note that we’re extremely disappointed by and strongly disagree with the award made by the arbitration panel. We firmly believe we did nothing wrong and that panel’s award was absolutely unwarranted without basis in law or fact. Contrary to certain erroneous media reports clients were not contacted about the move or made aware of the advisor’s departure prior to his resignation. Our broker-dealer at Wayne Hummer is committed to the highest ethical standards when recruiting new advisors that would never knowingly allow or condone such actions. Further we believe that the panel’s award was inconsistent with applicable FINRA rules as well as long-standing principles which indisputably favor client's choice over financial advisor. We are evaluating our options in this regard. On the net interest margin and net interest income front, the margin went down three basis points to 3.24% predominately due to market yields on our liquidity management portfolio which was down 24 basis points. Core yields were up 4 basis points basically due to the rise in LIBOR and the purchase of our franchise portfolio. We will talk about it a little bit later. Our cost of paying liabilities was up 2 basis points. Net interest income was up $9.4 million due to good overall balance sheet growth and we are extremely well positioned for higher rates if and when those ever come about. On a credit front, provision remained relatively consistent, at a little over $9 million, net charge offs were 12 basis points relatively consistent with prior quarters. Our NPLs were down $2 million and NPAs were down $4 million and our TDRs were down $4 million. NPAs represent a total of -- as a percent of total assets down to 44 basis points from 48 basis points. We continue our program according to portfolio for early signs of cracks and I have to say credit is about as good as it's ever going to get. And the Other Income/Other Expense front, as we said Dave will discuss in detail with a few general comments. Mortgage recorded record volume for the quarter, $1.4 billion the earnings were obviously hurt by the mortgage servicing devaluation. Wealth Management had good revenue growth also. On the operating expense side non-variable operating expenses were well contained and Dave will comment on that. Our net overhead ratio was down to 144 from 146, again ahead of our goal of 150. Long-term we expect this number to continue to improve as we continue to go into our infrastructure and look for other efficiency moves we can make. Again our objective of growth without commensurate increase in costs is still in play. On the Balance Sheet side we have 15% growth on an annualized basis in total assets to above $25 billion. Our loan growth boosted by our mid-quarter acquisition of $555 million of franchise loans from General Electric, total loans net of covered, and mortgages held for sale accrued 20% at an annualized basis or $927 million to $19.1 billion. This growth was spread across the sectors and [indiscernible], on the core side $352 million which is not bad in a seasonably slow quarter. Our pipelines continue to remain consistently strong. On a positive front, total deposits grew $1.1 billion or 22% on an annualized basis to $21.1 billion. Our DD&A growth kept pace with this and still comprises 27% of our deposit based. We're heartened by the fact that all this was pretty much core organic growth there by adding to our franchise value. We have often talked about us taking advantage of what the market gives us and as you know over the last few years and during the downturn we materially expanded our operating base in terms of number of branches and operations that we have. Our goal has been to grow into those branches and to get more efficient in doing so. Again growth without a commensurate increase in expenses. So our growth going forward is growth of blend of organic and acquisitions. This quarter we didn’t have any acquisitions, it was all organic growth. Our acquisition pipelines in all of our areas of our business remains strong. This quarter -- the fourth quarter I'm saying, we should close on our previously announced acquisition of Community Bank, First Community Bank, by adding a 180 million of cost and this is another high cost out transaction for us, where we their two branches overlap with ours, so we could over the quarter, and certainly in the beginning of next year realize material savings there. Now I’ll turn it over to Dave to talk about other income and other expenses.
Dave Stoehr: Thanks Ed. In the management’s income section our wealth management revenue totaled $19.3 million for the third quarter of 2016 which was up from $18.9 million recorded in the prior quarter and also up from the $18.2 million recorded in the year ago quarter. The trust and asset management component of this revenue category remained stable at $12.6 million in both the current quarter and the prior quarter. Brokerage revenue component increased to approximately $6.75 million in the third quarter compared to $6.3 million in the prior year quarter. Overall the third quarter of 2016 represents the highest wealth management fee levels in our company's history. The mortgage banking revenue decline $2.1 million or 6% to 34.7 million in the third quarter from the 36.8 million recorded in the prior quarter and was 24% higher than the 27.9 million recorded in the third quarter of last year. As Ed mentioned, the decrease in this category's revenue from the second quarter was a result of the $2.5 million negative fair value adjustment related to our mortgage servicing right. This was primarily resulting from actual prepayments during the quarter and higher projected prepayment speed [ph]. Although, we can’t predict future interest rate movements and customer’s behavior and we certainly don’t expect a similarly size negative fair value adjustment in the near term. Going on about mortgages, the company originated and sold approximately $1.3 billion and $1.2 billion of mortgage loans in the third and second quarters of 2016 effectively and that compared to $974 million of mortgage loans originated in the third quarter of last year. And the mix of loan volume related to the purchased home activity was approximately 57% in this quarter compared to 65% last quarter. Similar to our wealth management revenues in the third quarter of 2016, represented the highest mortgage banking origination and production revenue levels in our Company’s history if you exclude the MSR evaluation adjustment. We would expect to see some seasonal slowdown to the mortgage production revenue in the fourth quarter, but still expect it to be relatively a strong quarter to finish the year out. Fees from covered call options were $3.6 million in the third quarter compared to $4.6 million in the prior quarter and $2.8 million in the third quarter of last year. Again as we’ve discussed previously the company has consistently utilized these fees from covered call options to supplement the total return on our Treasury and agency security held in our portfolio in an effort to hedge margin compressions that occurred during a low rate environment. The revenue in the second quarter of 2016 for operating leases totaled $4.5 million compared to $4.0 million in the prior quarter, increasing 11% during the quarter. Correspondingly, the outstanding balances of the operating leases grew 12% during the third quarter to $116.4 million. These amounts relate to operating leases only as the capital leases are carried in the loan section of the balance sheet. Other non-interest income increased by $1.9 million to $13.6 million in the third quarter of 2016 from $11.6 million in the second quarter of the year. The primary reason for the increase in this category revenue was related to higher swap fees, gains recognized from the purchase and sale of certain assets and this was partially offset by slightly lowering income on our bank-owned life insurance assets. Turning to non-interest expense category, total non-interest expenses were 176.6 million in the third quarter, increasing approximately $5.6 million compared to the $171 million recorded in the prior quarter. As Ed mentioned despite the increase in expenses during the quarter, the net overhead ratio declined 2 basis points to 1.44% indicating we were able to leverage the expense base relative to a larger balance sheet and revenue levels in an efficient manner. I’ll talk about some more significant changes in details now as well as comment on a few other notable fluctuations from the second quarter. I'll start with salaries and employee benefits expense increased approximately $2.8 million or 2.8% in the third quarter compared to the second quarter of this year. The increase was comprised of approximately $1.2 million in additional commissions on incentive compensation expense, $1.4 million in salary and $230,000 in benefit expense. The company experienced an increase in commission expense related to slightly mortgage revenue production and the higher wealth management revenue that I spoke about earlier. And along with the slight increase in accrued incentive compensation from the prior quarter due to increased earnings. The higher salary amount was primarily due to general growth in staffing as the company grows. Although, I will note that the salary expense line item declined as a percent of average assets in the quarter indicating that we continue to generate positive operating leverage out of our infrastructure. As I discussed in regard to operating leases in the non-interest income section, the company experienced a corresponding increase in depreciation expense relating to operating leases and as that portfolio has grown. Again we expect this category of expenses to grow at similar a rate to the revenue side, as the portfolio of operating leases continues to expand. Occupancy expenses increase by $824,000 during the quarter, compared to the second quarter due primarily to slightly higher utility costs and slightly higher property tax accruals. Marketing expenses increase by approximately 424,000 from the second quarter to $7.4 million and was also higher than the third quarter 2015’s marketing cost of $6.2 million. As we focused on building out the franchise we expanded a little bit more on our mass media advertising during the third quarter to general internal deposit growth and brand awareness and believe the results of such advertising had been effective. Also as we discussed in our last call, this category of expense tends to be higher in the second and the third quarters of our fiscal year, as our marketing spending for our corporate sponsorship costs are higher in those quarters. Accordingly, we expect to see a modest reduction in this expense category during the fourth quarter of this year. Other miscellaneous non-interest expenses increased by $1.4 million in the third quarter of this year as compared to the second quarter. This increase was generally associated with the legal settlement accrual that Ed talked about of $1.8 million, including the adverse arbitration award in the amount of $1.5 million. All other expense categories, other than the ones I just discussed were essentially flat and on an aggregate basis, were down $15,000 in the third quarter compared to the second quarter. So in summary, the increases in expenses were less in the relative growth in the balance sheet and revenue levels, resulting in a lower net overhead ratio indicating improved leverage of those expenses on an overall company-wide basis. In fact the third quarter of 2016 represented the third consecutive quarter of a reduction of our net overhead ratio and each of the quarters of 2016 have been below the net overhead ratio goal of 1.5%. We’ll continue to work hard to effectively lever our expense base and keep you posted on our efforts. So with that, I’ll turn it back overt to Ed.
Edward Wehmer: Thanks Dave. So a bit of summary here. First, what I'm sure is a preemptive strike, I'm sure you're all wondering how the Wells Fargo issue will affect Wintrust. As a result of the situation, the regulators will be looking closely at this type of activity in all banks. In fact, this has already started. So for the record, Wintrust does not have and never has had a system-wide incentive based retail banking cross-sales program. Our culture is more relationship and know your customer base. Exactly what you would expect from a community banking origination like ours. However, a few of our banks have periodically and occasionally using incentive based cross-sell plans. These were very modest in design and certainly not egregious. Each of these plans were well controlled and the results were reviewed and again incentive payments were extremely modest. We have never experienced any problem with these plans. In anticipation of regulatory scrutiny we are taking a closer look at all of these plans and their results, over which any of these plans were conducted over past few years. Based upon our culture, our internal controls and the nature of this plans, we do not expect to have any finding related to that. So summarizing the quarter, we are very pleased with the quarter. Hopefully we can fly the W flag, just like the Cubs were flying it recently and hopefully continue to do so. Dave talked about marketing expenditures, I hope continue through the end of October and don’t end pre-maturely, as they relate to our sponsorship with the Cubbies. We are going to continue to execute our growth plans and capitalize on our excess operating leverage to balance profitable growth in all areas of our business. Growth will occur both organically and through acquisition, as mentioned our acquisition pipelines remain active in all areas of our business and you can be assured that we will maintain our historic discipline in evaluating these opportunities. We have good momentum in all fronts and all market. Loan pipelines are consistently strong, credit remains solid, though we continue to cull the portfolio for any cracks, and we will move quickly to resolve those. We have always been well positioned for higher rates and acquisition even improved more so in this quarter. As always we will be nimble and take advantage of what the markets give us. So you can be assured of our best efforts to deliver shareholder value, and our drive to become Chicago's bank and Milwaukee's bank. And now we will take some questions.
Operator: Thank you. [Operator Instruction] Our first question is from Jon Arfstrom with RBC Capital Markets. You may begin.
Jon Arfstrom: I was waiting for the Cubs reference, and we got it, so that's good. Question for you on the margin, Ed. It seems like there is -- obviously it was down a little bit but it seems explainable, and maybe some of it has to do with the liquidity management growth. But give us an idea of how you're feeling about the margin, absent any rate hikes, and then maybe touch on what you think a 25 basis point hike could do for you?
Edward Wehmer: Well, you know that my view is 320 plus or minus 10 next year. We didn’t expect the money market rates to go as low as they are. We have cut back, I think -- we’re thinking rates as low as they’re going to go, we cut back on the duration of our liquidity management portfolio, as is evidenced through part of our -- by how our interest rate sensitivity grew this quarter. The rise in LIBOR has helped us nicely, so far it should continue to help us. We do have a portion of our portfolio that is tied to LIBOR and that should continue to help on the loan side. Cost of funds should creep up a little, we’re doing more organically now which costs a little bit more money to do. But again if you got the loan demand to cover, and the loans, you're getting more yield on loans, that should overall more than -- the increase in long yields should more than offset any increase in our funding costs. 25 basis point rise in the prime rate, if it's a parallel shift in the curve, it should be very beneficial to us. You can basically interpolate the numbers there, but I think you got to concentrate now on net interest income and maintaining and trying to improve the margin. But we can't, you know this low rate environment is killing everybody. We are making the bet that the rates are going to start going up and it should be very beneficial to us and help raise our margin even more. So 25 basis points rise would probably mean on an annualized, if it happened in December based on the portfolios it stands to be 10 million 11 million for us over the course of the year, pretaxed in the margin, that would be right Dave. Dave Stoehr, first time he's ever talked on one of these. So about $10 million, $11 million on a quarter, even that, the LIBOR increases will help that also. That comes in all the time in our portfolio. So in general a rising rate environment is extremely good for us. That is now a bigger beach ball [ph] underwater, that hopefully won't come propping up soon, but who knows with the election and what's going on. So we're just trying we have to keep our loan yields up, we need to continue to get more efficient with our growth and bring our overhead ratios down and we are well prepared for higher rates and it can only help.
Jon Arfstrom: Okay. That helps. And then just the other big line item, the mortgage banking business. Dave, you signaled a bit of a slowdown, I think most of us would expect that. But maybe give us an idea what you're seeing so far in the fourth quarter? And Ed or Dave, do you still -- do you see growth potential for this business in 2017 or are there some headwinds you think we need to be aware of?
Edward Wehmer: It stacks up now, October and November look pretty strong. December is usually seasonally slower. But a rise in rates will probably stall it a little bit. We are well positioned to accordion our expenses, which is really the most important thing to do timely in an environment where your volumes are going down. But we've got a good reputation, we've got a good company, when we see opportunities for one thing slowdown, we still believe that a number of independents will want to align with somebody. I think it was always the consensus before and so this is in the market and so this drop in rates brought upon this bulge in volumes for the industry. But I think when they fall off a little bit we will have opportunity to expand our footprints and our capabilities over the next year, but we're having record quarters now. I think if rates drop a little bit those will fall off, but I still think it can be a very profitable business for us long-term and it's kind of an internal balance sheet hedge, when rates go up our margin is positioned to grow up higher to make-up the difference in the mortgage loans. So we're committed to that business, people are always going to need mortgages and we are very good at what we do and we will continue to look for opportunities there.
Jon Arfstrom: Alright, thanks for the help.
Operator: Thank you. Our next question is from David Long with Raymond James. You may begin.
David Long: Regarding the franchise finance portfolio, how did the yields -- you mentioned they positively impacted. Can you give us any numbers around what the positive impact may have been in the quarter from that? And then also regarding the franchise finance business, have you had -- did you have any expenses that came in this year, maybe with some hires that would have been on -- came on either this quarter or earlier this year related to that business?
Edward Wehmer: Well, it came on early in the year we have added some, but we had the plumbing in place before we flushed. We worked on that transactional a long time and had higher number peoples from GE and a few more people have come on, but nothing really material and it’s just come on overtime. The portfolio itself now had outstanding about $855 million in the overall franchise portfolio and over $1 billion in commitments. Our pipeline are pretty strong here, as we this is a new niche business for us and something that we get into a niche, we want to grow and dominate it. So the weighted average yields on that portfolio is about 4.33% at the end of the quarter and so it’s pretty good yield for us, it’s an area we understand and know, We've got the expertise in hand, and we intend to grow it.
David Long: Got it, and then the second question regarding M&A, it sounded in early September when we spoke that you were still getting a lot of phone calls, and just want to see what you're thinking about the backdrop for M&A here.
Edward Wehmer: I don’t think the market has changed that much. I think we’re spacing them out a little bit more than we have in the past. But we still see opportunities out there. We’re still concentrating on banks under $1 billion who have that community bank culture that assimilates so well with ours. So we -- this quarter was all organic growth, we are very good at organic growth and we are also very good at acquisitions and I think if you can expand without a major increase in price expectations for banks of that size, you probably can see us still being relatively active in that market.
David Long: Cool. Thanks, Ed. Let's hope we can wave that W flag this evening.
Edward Wehmer: We sure will.
Operator: Thank you. Our next question is from Kevin Fitzsimmons with Hovde Group. You may begin.
Kevin Fitzsimmons: Was just wondering what you guys have observed or heard about related to commercial -- the regulatory commercial real estate thresholds, and specifically, is it an opportunity and a bit of a threat at the same time? And by that I mean, you guys I don't believe are close to the limits for your sub banks. And we've heard from commercial real estate heavy banks that are retrenching, that maybe there is some improved pricing and structure on some of those loans, so it's an opportunity. On the other hand, we've also heard that a lot of traditionally heavy commercial real estate banks, since they're pulling back from that are diving into C&I, and that's affecting the pricing there. So are you seeing either of those, that phenomenon, related to your business? Thanks.
Edward Wehmer: On the commercial real-estate side yes you are right on all fronts. We are nowhere near the regulatory limits in that asset classification. We do have capacity there, but again its commercial real-estate so we’re being very, very selective. We are seeing more opportunities and we’re turning down a lot more opportunities, not just pricing expectations. People are still interesting, borrower pricing expectations are interesting and we're holding the line. We’ve seen a lot of volume and I tell our guys, it’s not because you’re good looking guys, it’s because nobody else can do it, they’re up against the limits and they have other concentration issues. So we see it is an opportunity, we’re being very selective in the areas we do get into, we’re not doing land development or any of those crazy things, but we also see it as an opportunity as you pointed out to take on selective transactions that are very profitable to us to maintain and we are going to increased pricing on those relatively speaking for the most part. The only bubble area we see in the market is the apartments, that’s the only ones we’re afraid of here. Our opinion is that pretty soon all of the Millennials will want to live downtown. Eventually going to start having babies and decide they don’t want to live in 1,000 square feet at 5 bucks a foot and they’re going to want green space and will be moving out to the suburbs. So we think that there is an apartment glut. We do in terms of development in Chicago, so we do have a couple going up, but they are with very, very attractive sponsors, names you would all know and very, very low advancement. So we’re very comfortable with that. On the C&I side, the rates, rates on C&I haven’t really moved that much begin with. So they couldn’t be that much more pressure on them. That being said, we lost a deal, a very nice deal on a contractor, somebody paid 100 over LIBOR to a contractor too. That’s a little crazy in our book. But we were nowhere near that pricing. So you are seeing a little bit of it, as people still scrounge for earning assets. Many of the banks who are trying to get into C&I really don’t have the plumbing in place, the capabilities in place, international capabilities, the syndication capabilities, the expertise, the treasury management capabilities to play in that market. So we’re not seen too much -- the deals we want, we're not seeing too much competition in that regard. So you kind of were right on all fronts, but we are navigating those waters well.
Kevin Fitzsimmons: Just a quick follow-up. I've noticed the net overhead ratio is something that definitely is on an improving trend. The ROA, I'm just wondering -- I know there's a lot of moving parts there. When does the or what keeps the improvement in the net overhead ratio from translating into improvement, or more measurable improvement in the ROA? Is it a matter of waiting for rates to increase, or is it a matter of that you guys are not holding back from making investments quarter to quarter, and it's a timing thing, or is it a bit of both?
Edward Wehmer: Well, if we see an investment we want to make, we’ll make it. We don’t time things like that. It’s the margin. So the margin -- just the margin keeps coming down because of rate environment, we can keep up with it through our growth, but -- and continue to position for higher rates. But we’ve had this discussion, I think with you and with a lot of folks about how much we don’t like dilution and we are more than willing to rather than pay a big price and let three years’ worth of earnings go out the back door to start something from scratch and invest in a business and grow it. We can continue to increase earnings at double-digit rates. I don’t know any bank stocks that trade on ROA, they trade on earnings growth and tangible book value growth and those are two items that we run our business on. So of course, we would like to get a higher ROA, but we would like to [indiscernible], we’re a growth company. We’re more interested in increasing tangible book value increasing our earnings, and continuing to grow the ROA, the best we can. But again, I haven’t seen anybody trading on ROA. We should be between 90-97 something basis points going forward. It just depends on where the margin goes and we want to continue to go earnings and invest with the old Grand Dotted Pedal Book in mind of increasing tangible book value and increasing earnings at a double-digit rate and growing assets.
Kevin Fitzsimmons: Great. Thanks.
Operator: Thank you. Our next question is from Chris McGratty with KBW. You may begin.
Chris McGratty: Dave, on the fee income, I may have missed it in the prepared remarks. You had a decent ramp in the other miscellaneous income, around $4 million last year, a little over $8 million now. Can you just remind me what's in that, and what sustainability might be?
Dave Stoehr: The big number that we included in the total non-interest income is -- the swap fees are in there. They have increased over time, a little volatile, depending where the market rates are at. Our Tricom subsidiary is in there, that’s are stable. The other things in there that we do have letter of credit fees that we generate for our clients, lots of miscellaneous stuff in there, we got foreign currency translation fees, if we sell any property the gains or losses go through there, our interchange revenue on our debit cards and credit cards go through there. It's a lot of miscellaneous stuff. So I just think as the business is growing, we are just generating more fees from our customers on all those variety of products.
Chris McGratty: Okay. Great. Maybe Ed, for you, on the capital question. You're obviously optimistic about growth. I think obviously you talked about potentially some Tier 2 down the road. How should we be thinking about timing of maybe additional capital, based on pipeline comments?
Edward Wehmer: We always look at and its capital and cash are the things at the holding company are the things we look at. We probably got $600 million, $700 million worth of growth or assets now tried up in the mortgage business that could fall off, fall more than in half, which gives you a little bit more capacity. So really, we'll play it by ear, but as of right now our earnings are pretty good, we’re supporting everything and internally if opportunities present themselves or growth -- those continue to grow at levels experienced last quarter and which we have really pre-funded with that last capital offering, we are not afraid to go back of the market and raise additional capital as long as we can keep it accretive to our shareholders.
Chris McGratty: Understood. Thanks. Maybe one last one. The comments on LIBOR, I was wondering if you could specify, number one, the exposure to the one month LIBOR, and also the three month, fee ballpark figures would be helpful.
Dave Stoehr: Yes, Chris this is Dave. If you look at our overall loan portfolio, we got about roughly 29% of our loan were tied to one month LIBOR, another roughly 15% to 16% are tied to 12 month LIBOR and that’s primarily our life insurance premium finance portfolio, they re-price once a year basis on 12 month LIBOR predominantly. Then we’ve also got about 16%, 17% of our loans that are tied to a primary. And about a third of the portfolio is fixed and then the rest a few percent are tied to three month LIBOR and that’s about it. So if you boil it down about 29% is the one month LIBOR and 15% to 16% is 12 month and 16%-ish prime. So both are --.
Chris McGratty: So a couple basis points helper, is that about fair in the third quarter?
Dave Stoehr: Yes.
Chris McGratty: Okay thanks.
Operator: Thank you. Our next question is from Brad Milsaps with Sandler O'Neill. You may begin.
Brad Milsaps: Dave just want to follow-up on the liquidity management book. Can you talk a little bit more about the mix maybe how it changed, maybe relative to the second quarter? Are you holding more cash on average or was it more you just bought really short-time securities. Just trying to get a sense of maybe how that could spring bring back kind of over the back half of the year, with the long end maybe moved up a little bit now or it may not if you are just holding more cash. Just kind of curious kind of what the mix is in that book?
Dave Stoehr: We end up June really with cash and Fed funds about $700 million. In September we were probably about $820 million or so as we had a little bit more cash on the book. Our securities portfolio stayed roughly the same, but there is a fair amount of prepayments on the agency securities and some of those were at premiums. So you are seeing a little bit of headwinds on premium amortization on government agency securities that we hold on the book. And rates have been down, so the reinvestment of those hasn’t been [technical difficulty]. Just some headwinds on that portfolio, but we are slightly liquid as Ed mentioned earlier then we were last quarter.
Edward Wehmer: We don't get real excited about 1.5% mortgage-backed securities.
Brad Milsaps: Yeah no not at all. Do you have the dollar amount of what that the premium amortization was this quarter maybe relative to last?
Dave Stoehr: Brad, I don't have it handy with me right here. I don't want to misspeak. But I tell you what, we'll make sure we mention that in the Q.
Brad Milsaps: Okay and then it didn’t look like there was a lot of additional accretion income from the GE book that came over in the charts that you include, but was there any significant mark there or any potential for that bucket to increase?
Dave Stoehr: No not really.
Brad Milsaps: Okay, and then just got a final a bigger picture question and you answered this to some degree with kind of the breakdown of the LIBOR and prime loans, but just looking back over the last year we've had the move in the LIBOR this quarter we had once that increase yet new loan yields are basically about the same can you talk little bit about competition is that just more reflective of you having to give a little bit more on spread because that maybe we had thought you would have maybe captured a little bit more of some of those increases in the loan yield kind of on a year-over-year basis, but the competitive environment maybe as such that just hasn’t been -- it hasn’t been possible. So just trying to get a sense of what the next one will mean can you capture more of it?
Dave Stoehr: We always thought we thought some pick-up in our long yields this for I think where we saw the pressure over the last year, but we still had stuff going out the back door so to speak with older deals that were higher price that matured or got refinanced. So that was a fair amount of our pressure on the margin over the last year but we’re seeing the rates go up.
Edward Wehmer: We are seeing the rates go up but remember too, we're bleeding of accretion, Brad. [Multiple Speakers].
Brad Milsaps: Even if I -- just for that it look like you cannot still fight, no I certainly understand.
Dave Stoehr: I think we will be happy to see that but -- we spreads are relative with the same what they have been. We don’t -- standing there is a little bit better. So I think a lot of it might be accretion, we’ll have to look at that and again we’ll get back to you on that.
Brad Milsaps: Okay. All right. Thanks, guys. Appreciate it.
Operator: Thank you. [Operator Instructions] Our next question is from Terry McEvoy with Stephens. You may begin.
Terry McEvoy: Hi. I guess you really cranked up to deposit growth last quarter and I think Dave you mentioned maybe some of the expenses and the impact on just deposit yield last quarter. As you think about the fourth quarter now that the portfolio purchase is behind you, from our perspective should we kind of target loan growth pretty consistent with deposit growth in Q4?
Dave Stoehr: Well. We got to look at and see what’s happens and goes down with mortgages too, where that goes. But our pipeline is as strong as it’s ever been, notwithstanding this pipeline which is all very strong commercial real-estate pipeline is about $1.5 billion kind of weighted basis a little over 900 million for the next 90 days and that’s consistent with back -- the second -- the pipeline goes down in the third quarter basically as guys play golf and used to good weather and the fourth quarter basically pops up, it’s usually one of our busier quarter. So I would expect that they have reasonable loan growth in the fourth quarter and our loan to deposit ratio if we take out the mortgages that’s up for sale and coverage is right around 89.8% and that’s an area we are comfortable with. So having it grow proportionately now with deposits and loans would be fine. But I think it’s a reasonable expectation.
Terry McEvoy: And then just a follow-up [Multiple Speakers].
Edward Wehmer: We’ll pick up a little bit and just the tiny bit of capacity with the acquisition that we’re closing.
Terry McEvoy: And then just as a follow-up, thanks for running through sales practices and competitions practices within the branch and Wintrust has been unique businesses have you looked at maybe your sales practices across the company in terms of compensation, motivation to make sure you’re comfortable with how they’re conducted?
Edward Wehmer: Yeah, I mean the other ones there is, there is no cross sell, there is really no ability to do anything -- there is commission based businesses, The premium enhanced P &C business is commission based, but you really -- that would to show up pretty quick that it was going on there. You got to book the loans and we do due diligence on those, on the mortgage side same thing, with all the work you do down at mortgages it’s hard to get anything to fall through those cracks. So this nature loves businesses and how they work, we don’t have any other cross-sales or any sort of special bonus initiatives to brining business on the books, it’s all commission based and after the fact commission based. So with claw backs for deals that close too fast, or they re-price too fast, or whatever. So we are very comfortable with the rest of that, we just don’t have a lot of it. It’s not our culture.
Terry McEvoy: That’s good to hear. Thank you.
Operator: Thank you. Our next question comes from Kevin Reevey with D.A. Davidson. You may begin.
Kevin Reevey: So one question I had is, I noticed your commercial and industrial loan you had some pretty small linked quarter growth there. Was that pretty broad based or was that a particular industry or area that we saw the bulk of the growth come from?
Edward Wehmer: Well, that commercial and industrial line item’s got the franchise loans purchased in it. So that $555 million of loans we bought from GE would be included in that line. So we’ve backed that out, the rest of it looks like relatively normal growth.
Kevin Reevey: Okay. Got you. And then have you been any of your clients being feeling any effects of the budget stalemate that’s been going on for about 18 months, 19 months in Springfield it at all?
Edward Wehmer: Those are been going on for about 10 years.
Kevin Reevey: Yes. Feels like it.
Edward Wehmer: We do have a number of in our not for profit area, we do see there’s some, there’s a lot of pain there, actually. A number of our clients who are not for profit charities who have had to cut back or just stop in terms of their activities and what they’re doing because the state isn’t paying them. So we’ve seen the effects for sure, we’ve managed through those effects, as has the management of those entities. But other than that, it’s a mess. But eventually they’ll have pull it, they have to do something to get through it. But in terms of our C&I business, we don’t by design do much business with governments other than buying maybe some of their securities, because I just don’t trust them. I don’t trust the Federal Government, I don’t trust the State Government. We don’t do a heck of a lot of business with them. So for the most part it’s just affected charities and they have been able to navigate through them.
Kevin Reevey: Okay. Great. Best of luck.
Operator: Thank you. Our next question comes from Nathan Rice with Piper Jaffray. You may begin.
Nathan Rice: A lot of my questions have been asked and answered. Just maybe a quick one on the servicing portfolio. Just curious what the appetite to grow that is from here, I think over the last couple of quarters the mortgage servicing portfolio has grown by roughly 20%. Just curious what the outlook is for that going forward in terms of --?
Edward Wehmer: It probably will continue to grow. We have the capabilities now. We built up enough bulk in our mortgage servicing area. I guess one of the unanticipated benefits of the Dodd-Frank movement was to centralize mortgage servicing in one place, which gave us, and took it out of the 15 banks and put it in one place where we could have that specific required expertise which then gave us the capacity to start. Servicing more. I never liked taking mortgage loans made in our footprint by Wintrust mortgage and selling those to somebody else to servicing them, didn’t make a lot of sense to me. So now we can keep them in house, service them ourselves. So I would have expected they would continue to grow overtime, because we like our customers to stay with us and not give them to other people.
Nathan Rice: Okay. That’s all I had. Thank you.
Edward Wehmer: Great. Thank you.
Operator: Thank you. I’m showing no further questions at this time. I’d like to turn the conference back over to Edward Wehmer for closing remarks.
Edward Wehmer: Thank you everybody for dialing in. Thanks for your support of Wintrust and we look forward to talking you at the end, what hopefully will be a record year. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for participation and have a wonderful day.